Operator: Welcome to Yamana Gold's Q3 2014 Financial Results Conference Call and Webcast. (Operator Instructions). I will now turn the call over to Ms. Lisa Doddridge, Vice President, Corporate Communications and Investor Relations.
Lisa Doddridge: Thank you all for joining us this morning. Before I turn the call over, I need to advise that certain statements made during this call today may contain forward-looking information and actual results could differ from the conclusions or projections in that forward-looking information which include but are not limited to, statements with respect to the estimation of mineral reserves and resources, the timing and amount of estimated future production, cost of production, capital expenditures, future metal prices and the cost and timing of the development of new projects. For a complete discussion of the risks, uncertainties and factors which may lead to our actual financial results and performance being different from the estimates contained in our forward-looking statements, please refer to our press release issued yesterday announcing our third quarter 2014 results, as well as our Management's Discussion and Analysis for the same period and other regulatory filings in Canada and the United States. Throughout the presentation when speakers use the term ounces, they will be referring to gold equivalent ounces, unless otherwise stated. Gold equivalent ounces include silver production at a ratio of 50 to 1. I would like to remind everyone that this conference call is being recorded and will be available for replay today at 12 PM Eastern Time. Replay information and the presentation slides accompanying this conference call and webcast are on Yamana's website. I will now turn the call over to Mr. Peter Marrone, Chairman and CEO.
Peter Marrone: Lisa, thank you very much. Good morning and thank you for joining us. We take a portfolio approach to managing our assets. And as with any portfolio, some assets perform and some don't and some need more time and care to get there. Those assets that best deliver value and we look at currently or in the near term and near term is a couple of years or less, those are our cornerstone assets, and these are the ones that some of the time, for many of them almost all of the time, contribute toward our goals and plans. They are by and large dependable. These assets are Chapada, El Penon, Gualcamayo, Mercedes, Canadian Malartic and Minera Florida and Jacobina of our producing mines, and in the case of one of our development stage projects, Cerro Moro, that will be developed and in production in the next several years. They are the assets that contributed now or soon will contribute in the case of Cerro Moro, most significantly to production and because of their lower costs or imminent opportunity for cost reductions; they most significantly contribute to our overall margins and cash flow. We rely on these more dependable operations to offset and mitigate the underperformance of other assets, as we determine how to improve those underperformers. Ultimately, we expect performance from our entire portfolio and if not, other actions to improve the portfolio have to be taken. We see the portfolio as a whole, rather than any one particular asset. Now you've heard me say this before. But I thought it was important to summarize the strategy and approach that we take the management of assets. We also seek to evaluate internal and external opportunities to optimize and reposition the overall portfolio, all in the context of balancing production, production growth, costs and that balance between production is costs is important, ultimately to drive margins and cash flow. As part of our approach to managing our portfolio, we expect that there will changes in the composition of that portfolio from time to time. What is a cornerstone asset or can become one can change over time. We look to optimize production, mitigate costs, improve margins and drive cash flow across all of our assets. Although we don't lose sight of the sustainability and opportunities at our cornerstone assets, we take a reasonable amount of time to view operational improvements and most of the time underperforming assets become better. Sometimes despite our best efforts, we cannot get there. That is not the same thing as saying that these assets are not or cannot be made to be quality or better assets. Rather, what I'm saying is that we can better deploy our efforts and focus on other assets that are or can come into the cornerstone category. At all of these cornerstone mines that I mentioned a few moments ago, we performed at or above expectations. At Chapada, copper production increased 15% and copper-related cash costs decreased by 9% in the quarter. With Corpo Sul now contributing to production and the completion of the in-pit crusher, Chapada will continue to perform well. And gold production is also in-line with our production forecasts, as are its costs. At El Penon, with cost improvements being realized with new equipment and silver grades improving as expected, El Penon will perform as expected this year. Although equally and this is important, steady state production at El Penon is exceptional. This a mine that is exceptional as compared to so many other mines. I don't want to leave you with the impression that steady state doesn't mean very much to us because of the quality and scale of this operation. Gualcamayo's production increased a full 56% year-over-year versus the second quarter, recoveries have improved and with the commissioning of the underground conveyor now complete, Gualcamayo should see improvements to costs to match production with the delivery of efficiency coming from that conveyor system. Grades at Mercedes have improved this quarter and are expected to continue to improve, and this should be true for Q4 as well. Canadian Malartic is definitely an outperformer. As throughput improves and into the next year, as those throughput improvements will continue along with an expectation of improved grades. At Jacobina, operations are improving, as we execute the plan to get the operation back on track after some difficulties last year. Each quarter we are seeing production and cost improvements. We’re not there yet on costs at Jacobina, from beginning of the year to end of year; we forecast an over 30% cash cost improvement. Our challenge has required development to get to higher grade areas. We’re mining below reserve grade. Getting there increases our all-in costs presently, but the opportunity is substantial because of the increase in production and lower costs that will ultimately be realized. Jacobina presently is an outlier in the cornerstone category. Although it has the production and cost-improvement opportunities over the course of that intermediate period time of a couple of years that we cannot overlook. At Florida, costs and production have continued to improve, as was expected. Florida continues to be a reliable performer. The record production for this quarter and expected increase in Q4 and then again in all of 2015, at a cost for this quarter that was below our guidance range is driven from these assets. Cerro Moro will further contribute to that once we have made a construction decision and brought that into production.  Now in 2011, we set in motion a plan to develop four development stage assets and to undertake two significant expansions, it was a daunting task. With the benefit of the rear-view mirror, we can see that it provided a lot of weight on our management and a lot of effort was required. These assets as a package were expected to contribute to our top line and bottom-line growth. One project, that's Mercedes went exactly as planned. We delivered it ahead of schedule and on budget. Our Gualcamayo and Chapada expansions went well also. The other three projects did not. All three were met with challenges and delays. Now one of those projects, Pilar, the fix is in progress, but to a more modest production level and at higher costs than we had planned in our feasibility study. Drill spacing has improved. Mine efficiency is improving. Exploration at the adjacent Maria Lazarus deposit continues to demonstrate that its development will enhance the overall value of Pilar. At C1 Santa Luz, we took the decision several months ago to place the operation on care and maintenance, as we determined that we needed a different metallurgic solution and in the meantime, we needed to protect our mineral inventory. At Ernesto-Pau-a-Pique, we’re producing roughly 20,000 to 25,000 ounces per year. Although interestingly, in the third quarter it did not cost us money, with all-in costs offset by certain energy credits. Equally it has become a far more modest operation than it had been anticipated. For all of these assets, we have reduced their carrying value to reflect their current reality. We expect that the maintenance and management costs for these assets year-over-year to be very modest and it is our objective to create value at these projects in excess of what we now carry them in our books. Ladies and gentlemen, it's not easy for me to sit here and tell you that we got something wrong and that things did not go as planned on certain things, but that's what happened at C1 Santa Luz and Ernesto-Pau-a-Pique and to a lesser extent at Pilar. We know we’ve taken the right amount of time to evaluate these projects and this quarter we have taken the last step on these assets that now allows us to focus on further value creation from our cornerstone assets. And coincident in 2013 with a precipitous decline in metal prices and as we evaluated our portfolio, recognizing some of these challenges that I've just mentioned, we undertook a strategic review of our business and as part of a full strategic review, we evaluated the needs and enhancements to our management to better manage our operations, our exploration effort and our development projects. We sought to align management expertise and structure with the company's portfolio. Once a more efficient and effective structure was developed we began to implement the changes. This is a process that began last year. The first significant change and perhaps by way of an introduction to the people who are here on this conference call with us and who will be shortly was the establishment of a new role of Executive Vice President, Enterprise Strategy. The importance of this role cannot be overlooked. It is to oversee the integration of exploration, operations and technical services with a recognition of the importance of the various disciplines for proper evaluation and development of new projects and plans to optimize producing mines. Darcy Marud, previously our Senior Vice President of Exploration was appointed into this position and since his appointment he has been working with the various technical disciplines to better facilitate and ensure that integration to make our operations more seamless, to create efficiencies, enhance value at existing operations and development projects. The company's exploration program is overseen by William Wulftange, who previously held the position of Vice President, Resources and Reserves and Technical Compliance was promoted to Senior Vice President of Exploration. We maintained continuity in our exploration update several weeks ago, shows significant results. The transition was seamless and has borne fruit. At the time of these appointments we also recognized that we needed to supplement and change the way that we manage technical services, responsible for development stage projects. We needed to improve the timeliness and quality of studies and the advancements of our projects. Technical services at Yamana, the performance was erratic with successes, but clear misses in some cases. A new position of Senior Vice President, Technical Services based in our corporate headquarters in Toronto was created and I'm happy to say Barry Murphy, who is also here with us, was appointed to that role. Earlier this year and as the company made our entry into Canada, we identified the need to add additional operating expertise and experience in that jurisdiction. Daniel Racine, who has over 25 years of experience in the Canadian mining industry, was appointed to the role of Senior Vice President, Canadian Operations also responsible for mine development and planning. The company's expanded portfolio and entry into Canada accelerated the need to begin a transition of operational or oversight between and North and a South division. We've promoted from within with two of our officers, one in Santiago and the other in Toronto, to effect this transition. That transition has now advanced and is complete. Gerardo Fernandez, our Senior Vice President of Southern Operations provides oversight to the company's operations in most of South America. The transfer of responsibilities and the better alignment of operational oversight began with carriage of responsibility earlier this year for Pilar and Jacobina. As you are aware, Gerardo is based in our Santiago office. We recognize the extensive experience for complex underground operations located there. We came to the conclusion that we cannot manage our business based on national boundaries. We have to look to where there is competency and capability, with Jacobina and Pilar and the complexities of those underground operations; we felt that it was necessary to migrate the carriage of those operations and oversight to our Santiago office. And we're pleased with the results that we're getting. Mr. Racine is the other Senior Vice President, in his case for Northern Operations. He will provide direct oversight to the company's Canadian and Mexican operations and support over our other efforts. I want to leave you with an important point. This is a coordinated and cooperative effort to take advantage of the substantial expertise both persons have. The structure reflects the existing centers of excellence in Toronto, Santiago and Sao Paolo with a better focus and more streamlining. Now our program has been orderly, it has been an orderly transition of operational management overseen by our Chief Operations Officer, who is also here with us, Ludivico. He was an integral part of this change and as part of the company's succession plan. With the implementation of this now complete, the new structure already contributing, as evidenced by the production improvements delivered in the third quarter and what we anticipate into the fourth quarter, Mr. Costa has announced that he will be retiring effective June 30 of next year. I want to give you a personal note. I would like to thank Ludivico for his commitment and dedication to this company during the eight years that he's been with us and for the significant contributions as the company has developed into a focused gold producer with operations in both North and South America. He has been instrumental in this development and more recently in our operational succession plan. This period before his retirement, I’ve asked him to take on an important task of developing a strategy for further optimization and improvement at several of our mines in Brazil. He has been integral in our optimization plan for Chapada, where we’re now evaluating further recovery improvements and his advice will be invaluable in implementing those. We will also be developing cost-improvement initiatives at Jacobina and Pilar and Ludovico's efforts will be invaluable in those efforts as well. With this structure, we also expect that there will be G&A savings across several areas and most notably in our Sao Paolo office. With changes now having been implemented, taken root and formalized. We’ve confidence in our ability to deliver growth in production in a prudent and responsible way. We will continue to focus on our key assets and going forward, our capital spending is expected to decline and remain at those low levels. All of this helps to ensure a strong and liquid balance sheet and in the context of balance sheet, our liquidity and financial performance also here with us is Chuck Main, our Chief Financial Officer. And I'll turn the call over to him.
Chuck Main: Thank you, Peter. Overall our third quarter results were as expected operationally and include some noise in the financial results that I'll talk to that a little later. Revenues for the third quarter were over $500 million. Revenues were partially impacted by lower sales volume relative to our production volume for the quarter. There were over 18,000 ounces of gold that were not sold in the quarter, but will be sold and contribute in our fourth quarter. Our adjusted loss for the quarter as approximately $12 million or $0.01 per share after adjusting for onetime items. However, we believe the financial performance of our company is better demonstrated by cash flow than earnings. In the third quarter, we generated cash flow of $0.22 per share, after adjusting for reorganization and demobilization costs that were onetime nature. This is in excess of the $0.20 per share baseline established in 2013, despite ongoing metal price volatility and an increase in the share count relating to the Osisko transaction. In the quarter, we successfully focused on our cost containment initiatives and demonstrated continued improvement. All-in sustaining cash costs were $807 per GEO in the third quarter, representing a 7% decrease from the second quarter. Year-to-date, our all-in sustaining cash costs were $829 per GEO and it should be noted that overall costs for production are trending to be better than forecast in our guidance of between $825 and $875 per GEO. When we look at our key assets which is as you know are those that contribute most significantly to production and cash flow, we’ve delivered all-in sustaining cash costs of between $650 and $670 per GEO in each of the first three quarters this year. These assets are producing at a steady low-cost level. This new cost structure that we’ve achieved through our commitment to cost containment is sustainable and the third quarter all-in sustaining cash costs are representative of our efforts. With the continued production growth and our cost containment delivered in the quarter, we in finance are focused on strengthening our balance sheet, while facilitating that production growth. This approach is consistent with the company-wide focus to balance top and bottom-line growth to enhance shareholder returns. At the end of the quarter, cash and available credit was approximately $804 million. This includes cash and equivalents of $169 million. In the fourth quarter and through 2015, our focus will be on building our cash balance which provides for greater financial flexibility. Depletion, depreciation and amortization increased in the quarter to $141 million. This reflects the addition of Canadian Malartic, the transaction which closed during the second quarter and the inclusion of our other new commercial ounces. On a per-ounce of production basis, our depreciation expense is more or less in-line with levels seen prior to the addition of this new production and is expected to be consistent with this level going forward. Corporate G&A was approximately $25 million representing a 16% decrease from the third quarter of 2013. Cost containment initiatives with respect to overhead were undertaken in the quarter and we will continue to seek further opportunities to reduce G&A. Our exploration expense for the quarter was $5 million; a decline year-over-year has reduced our focus on Greenfield's exploration. Total capital spend in the quarter was $197 million, a significant decline from the previous year. Expansionary capital expenditures will be significantly lower in 2015, compared to preceding years. Before moving on, I would like to address another development in the quarter and what it will mean for us going forward. In September, the Chilean government enacted a tax reform package. The previous tax system had an overall income tax-rate of 35% and was structured with the first category income tax or cash tax of 20% and an additional second category tax of 15% which we were able to defer under the old regime. Under the new regime, our cash tax-rate or first category tax will increase to 21% this year, 22.5% in 2015 and 24% in 2016 and we will no longer have the ability to defer the second category tax. Our cumulative cash tax-rate will increase therefore to 35% starting in 2017. We will continue to evaluate the impact of the Chilean tax reforms. This quarter the income statement includes an impairment expense after tax of $635 million related to three assets which represent only a small portion of our total mining asset book value. An impairment review was carried out in light of the operational challenges experienced at C1 Santa Luz, Ernesto-Pau-a-Pique and Pilar. We continue to believe that there is potential additional value in these assets above the current carrying values and we continue to evaluate all options to realize additional value. These options include new metallurgic plans for the possible disposition or sales of some or all of these assets. We believe the current structure of our scheduled corporate debt repayments is very manageable and has been well-positioned against the expected tenure of our assets. The majority of our corporate debt repayments are due after 2021. Our $1 billion revolving credit facility continues to be a low-cost, flexible source of funding and which can be repaid as we rebuild our cash position. Net debt at the end of September excluded debt assumed from Canadian Malartic which is neither corporate level nor guaranteed by the company, is $1.76 billion. I will now turn the call over to Ludivico.
Ludovico Costa: Thank you, Chuck. Production in the third quarter was in-line with budget with 391,277 gold equivalent ounces consisting of 332,342 ounces of gold and 2.9 million ounces of silver. Copper produced for the quarter 38 million pounds. Cash costs were $492 per ounce and all-in sustaining cash costs were $807 per ounce. Equity production in the third quarter was 18% higher than the second quarter, and we expect to continued production growth in the fourth quarter. Chapada delivered as expected in the quarter. At Chapada copper production increased by 15% from the second quarter, due to the fill-in grade in recoveries and copper costs decreased by 9%. Growth production remained relatively stable quarter-over-quarter. In the quarter there were two significant achievements with the completion of initial development of Corpo Sul which is higher grade and near to surface, (indiscernible) in-pit, and the completion of the in-pit crusher which (indiscernible) enhanced plant throughput going forward. Production in the second half of the year is expected to be higher than the first half, due to these improvements. I will now turn the call to Gerardo to discuss our other South America operations.
Gerardo Fernandez: Thank you, Ludivico. At El Penon, production of near 117,000 gold equivalent ounces was as expected and in-line with the second quarter and was impacted by higher silver pit grade, resulting in a 16% increase in silver production. Ore production in the quarter was slightly below Q2, impacted by the higher than planned dilution in one of the (indiscernible) stopes due to lower (indiscernible) conditions, though by the second month of the quarter, we’ve completed steps to reduce dilution to planned levels or below including adjustments to the mining and blasting sequences of that particular area. Plant cost improvements were achieved in the quarter, as new mining equipment is being used in the underground mine, resulting in a 10% reduction of the underground mining costs, compared to the second quarter. In the fourth quarter, we expect an overall increase in gold equivalent ounce production and silver grade is planning to increase by 14%, while gold grade is expected to be in-line with the third quarter. We also plan to continue improving the stockpile grades and advancement development and preparations to ensure flexibility at the mine. The operation is well-positioned to meet this production expectation for 2014. Gualcamayo continued its strong operational performance in the third quarter reaching near 43,000 ounces of gold. The mine also achieved 10% higher recovery rate compared to the second quarter through the use of lower stacking heights on the leach pads, in an effort to reduce the leaching cycle and improve permeability. It's important to know the ore from QCC Lower West has a different metallurgy and a longer leach time, compared to the main pit. In September, we completed commission of the conveyor belt to transport ore from the underground mine to the plant. The conveyor belt replaces truck haulage and is expected to impact the cost structure of QCC Lower going forward. In addition, we’ve an integrated plan to reduce cost and part of this initiative are the advancing plans to reduce contractor, expecting transition to owner mining to be fully effected by the middle of the fourth quarter. Jacobina continued to improve, as we advanced plans initiated last year to reduce cost, followed by the return to focusing on growth objectives. Compared to the second quarter, production increased by 12%, due to higher throughput and higher feed grade. Costs decreased by 17% due to our continuous effort to execute cost containment in each of these including reductions of non-critical headcount and process control improvements. We expect mining in the higher grade areas to continue in the fourth quarter with further increases in grade beginning in 2015. In the third quarter, we also completed a new mine plan for Jacobina which outlines a more consistent production level at a higher grade. This mine anticipates ramping up to nearly 130,000 ounces per year. Minera Florida had another quarter of increasing production and decreasing cost. Production increased 5% over the second quarter and 10% compared to the third quarter last year, due to higher favored feed grade and improved recovery rates. Cash costs of $593 per ounce represents a 7% reduction from second quarter and an impressive 22% reduction from the third quarter last year. These cost improvements reflect continuous effort to reduce cost at this operation. I will now turn the call to Daniel to discuss our operations in Mexico and Canada.
Daniel Racine: Thank you, Gerardo. Good morning, everyone. First, Mercedes performed as expected with a 24% increase in production compared to the second quarter. The production increase was due to higher gold grade and we expect that to continue in the fourth quarter. In the quarter, we continued development work on other areas of the mine. We expect ore from Lupita to be contributing to the ore feed in the first half of 2015. And Canadian Malartic, we delivered as expected, a full first quarter of production. In the quarter we were able to increase average throughput to over 52,000 tonnes per day. (Indiscernible) put sustainability higher and up to design level continues to be a focus. As a result of optimization, we were able to get record average throughput over 58,000 tonnes per day in September. We continue to study several opportunities to optimize the asset and expect to provide further details early in 2015. However, I would like to highlight a number near-term productivity improvements underway. We’re advancing a project to improve current crushing and grinding constraint including redesign of the pre-crushing setup. We’re e improving drilling and blasting techniques in the open pit to produce a finer material to feed into the crushing and grinding circuit. Finally, we’re using a loader to manage the stockpile and keep the crusher full at all times which is also positively impacting the all-truck cycle time. We’re very confident the optimization process will help us to reach the target of 55,000 tonnes per day by the end of 2015. I will now turn the call over to Darcy.
Darcy Marud: Thanks, Daniel. The principle activity for the year at enterprise strategy has been the restructuring of technical services. We’re pleased to announce that we've hired Barry Murphy as the SVP, Technical Services in September and Barry is now firmly overseeing all project development activity including those activities at Cerro Moro, Gualcamayo and looking at process enhancement opportunities at C1 Santa Luz. We’re also actively enhancing the governance structure of technical services to ensure the integration of technical disciplines and cost controls. We've also refocused our LOM process to produce more reliable and predictable mine plans that will focus on free cash flow maximization. Lastly, we continue to provide oversight on new projects to ensure that we focus on and achieve the best possible returns on our invested capital. Barry is squarely in seat and looking at these opportunities as principle focus with the remainder of 2014 and going into 2015. At this point I would like to turn the call over to Barry so that he can update you on some of our current technical services opportunities.
Barry Murphy: Thank you, Darcy. I'll now give you an overview of some of the major areas of focus for the technical services group at Yamana. We’ve hired engineering consultancy N3, to update the feasibility study on Cerro Moro based on a throughput rate of 800 tonnes per day versus the originally designed 700 tonnes per day throughput capacity. We also are looking at options to further optimize the project's value through alternative execution strategies and throughput scenarios. The intention is to present the project to the Board of Directors for a construction decision in December 2014. At Gualcamayo, a concept study was started this year to identify possible exploitation options for the newly discovered sulfite resource located below the current QDD pit limits. Currently there are 2.4 million ounces available in this resource which can be expanded through further exploration. The study assesses various processing alternatives and mining options and has included some preliminary metallurgical test work. A preliminary economic assessment is planned to be completed in late 2015. At C1 Santa Luz, Yamana has contracted two engineering consultants, Mining Plus and Geco Systems [ph] to assist in investigating various processing alternatives to determine which options will deliver the greatest value from the remaining resource, based on the outcome of these studies, a prefeasibility study will commence in 2015 to begin elaborating the chosen alternative. And finally at Agua Rica and Suyai, we’re overseeing the evaluation of value creating technical opportunities. I will now turn the presentation over to Butch to discuss integration achievements.
William Wulftange: Thank you, Barry. The focus of Yamana's $75 million exploration program in 2014 is on upgrading and converting the significant increases in mineral resources achieved in 2013. Consistent with our focus on allocating resources to opportunities that can most quickly contribute to cash flow, our exploration program is supporting the discovery of new high quality ounces at select existing operations. An underlying theme to all our efforts this year is to do more with less. In 2014 we've been able to deliver results with a reduced budget as we aim to become ever more efficient with exploration efforts. I would like to briefly outline some of the significant results that we’ve have delivered in the first nine months of the year. At El Penon, drilling to date reports the replacement of mineral reserves at or above reserve grade. In addition significant exploration opportunities continue to be developed, most notably with discoveries of new secondary structures. These new structures include discoveries of Northwest trending mineral occurrences throughout the property. And a new North-South trending intercept located in the Northeast sector of Penon. At Minera Florida, results are supporting the mineral resource upgrades and expansion, as in-fill drilling is intercepting multiple narrow to moderate width veins in most holes that are at or above reserve grade. At Chapada we discovered an entirely new Santa Cruz target which is Southwest of Corpo Sul. The discovery of Santa Cruz, combined with Corpo Sul which itself was only found a few year ago and Suruca, suggests the potential of a system that is significantly larger than originally planned with the standalone Chapada mine. At Pilar, we’ve been focusing on tightening the drill spacing to increase certainty of the location of higher grade areas. This increased certainty is expected to support more efficiency mining and reduce dilution. We’ve also initiated an in-fill program to tighten drill spacing at Maria Lazarus which will outline higher grade ore chutes that can be prioritized and selectively mined as well. At Mercedes, we discovered the GAP zone which is along the Mercedes to Marianas structural zone. Drilling is returning positive results that require additional follow-up work including development, drifting and cross cuts to define the mineable ore chutes. This discovery supports the expanding exploration potential of an asset that was brought to production with an initial modest mine life. At Gualcamayo, the results at Rodado Southwest which is a mineral body near current underground mine workings, continues to support the potential for large scale bulk tonnage underground operation. Impressive results include several intersections exceeding 100 meters in length that are above current reserve grades and the fact that Rodado remains open, along strike and to depth which offers many opportunities with the potential to expand the current resource base. At Cerro Moro underground development and cross cuts exposed the Escondida far west structure earlier this year and subsequent sampling and assay results along both sides of the cross cuts provided positive support for the model grades and widths in the current resource model. Finally, our newest Canadian exploration assets, we have agreed with our partner Agnico, on an aggregate budget allocation of $8 million to support exploration activities through the end of this year. We expect this year's program will provide additional insight to the best approaches which will unlock value in these assets. I would now like to turn the presentation to Peter.
Peter Marrone: So ladies and gentlemen going forward, we expect a new quarterly production record for Q4 and further production increases in 2015 and 2016. We expect to make a construction decision as Barry mentioned at Cerro Moro by end of year. We will be providing several updates, improvements to certain of our mine plans, the most significant one that I can highlight in addition to Cerro Moro being an update by year-end on the development of these new underground areas at Gualcamayo. Clearly with those robust intersections and already sizable resources it's important to focus on that. One additional thought before I turn the call over to questions, you've heard me say before that we’re committed to returning value to shareholders. And as part of that, we have issued a dividend -- we’ve a dividend policy and have issued a dividend consistently since 2007. This is well before we were the company that we’re today and well before we were generating the cash flow that we're generating today. This is before Chapada was declared into commercial production, given the confidence that we had that we would be able to generate the cash flows required to pay dividends and consistently pay dividends quarter-over-quarter. The current level we believe provides a yield and a payout ratio that is in-line with peers. We’re committed to continuing to pay dividends and we'll continue to evaluate the dividend level in the context of current and expected future cash flows and the conservation and reinvestment of capital. One should not infer from this, however, any challenges to cash flow. With increasing production in Q4 and next year and then going forward, with a greater certainty of those production goals, remember these are producing mines now, not development stage projects, our substantially reduced expansionary capital level next year and what is already a low all-in costs, likely become lower with a reduction in costs for consumables, reduction in G&A as I mentioned earlier in the presentation, benefits of devaluations of local currencies and greater efficiencies; our cash flow is presently impressive and will become more impressive. We’re reflecting in our dividend an emphasis to increase cash balances in our treasury. While we give a yield and a payout at more modest levels but consistent with peers. And with that, ladies and gentlemen, I will open the call to questions.
Operator: (Operator Instructions). The first question is from Andrew Quail of Goldman Sachs. Please go ahead.
Andrew Quail - Goldman Sachs: I've just got a couple of quick ones. Just on the Geo, obviously you guys use to 50 to 1. And this year it's obviously been a lot higher end, so you're averaging 65 and some (indiscernible) too. When will you guys sort of revisit that for your cost and production guidance? And sort of for me, it's about, round about a 5% sort of impact. Is that something you'll visit in 2015 or be more conservative?
Peter Marrone: Andrew, you've preempted what I wanted to give as some final closing comments after questions. So perhaps I'll address it now, as part of our effort to create more efficiencies, we’ve been looking at that Geo ratio. We've been looking at Geo and the applicable ratios. We’ve applied a fixed ratio historically and it has been for several years of gold to silver. But we've been listening to our shareholders and to analysts such as yourselves on looking at ways to simplify this, changing the ratio quarter-over-quarter leads to anomalies as you've heard me say before, in comparisons. Although clearly, it better represents gold equivalent production quarter-over-quarter based on the actual ratio rather than an implied fixed ratio. It will however, create as I mentioned anomalies in comparisons. As you know, we provide gold production, silver production and copper production separately. The GEO was intended always to be just an easy reference point. But effective in 2015 we will adopting a different approach and we are evaluating the different approaches that we think delivers the best transparency and is the easiest for our shareholders and analysts and others to evaluate. We will always report the three principle metals by production separately, as we’ve done in the past and as we're currently doing. But we'll take one of the following approaches and we're just evaluating that now. We welcome any insight that you provide to us. We'll stay with the GEO, although with an actual gold-to-silver ratio quarter-over-quarter or perhaps annually. We will report gold only and silver only without gold equivalent. In that case, as you know, we apply copper as a byproduct credit or we will report gold only and apply silver and copper as a credit. This is a simple approach. It means showing only our gold production, not gold equivalent and not silver as a gold equivalent in production. Although clearly it would be at much better costs because silver would be taken as a credit. In all cases, what we're trying to do is to provide a simple measure for our production and costs, on a per-ounce basis that is easy to compare quarter-over-quarter and provides the best and most transparent representation of production and cost quarter-over-quarter. So we’re looking at that now. We would implement that in early 2015.
Andrew Quail - Goldman Sachs: In page 6 on your release, in your last paragraph, I think you sort of allude to that you made -- and actually give three-year guidance. Can you sort of comment on production guidance?
Peter Marrone: Well, we have historically given one-year to two-year guidance. We’re adopting a different approach, as we complete the evaluation of all of our operations, have a more refined approach to our development stage projects. That will give us more comfort in terms of being able to say -- there is life of mine plans and shorter term plans, but it will give us more comfort on what we should expect by way of production and costs for our various operations. And so on that basis, what we're anticipating is that we'll be in a better position than we've been in the past with those new mine plans, the refinement to those plans, the refinements to our development stage projects, Cerro Moro being the most immediate. It will allow us a better opportunity to be able say; this is what you should expect over a longer intermediate term, taking ourselves from a 1 to 2 year horizon, to a three-year horizon. That's what we plan to do in early 2015.
Andrew Quail - Goldman Sachs: And last one, just I think probably will be asked, just on the Brazilian assets, specifically the non-core. Is it easier or are you seeing sort of -- what's the trend? Obviously you can't give too much. But what sort of trends are you seeing with sort of any sort of correction in metal prices? Is it more favorable or less favorable to offload or try and divest? And is it easier to package them up as one or are you trying to sort of look at them as individuals to try and divest?
Peter Marrone: All or none and all of the above, Andrew. I think the best way to deliver value is you've heard me say before is flexibility, recognizing. The first step is to try to make an operation perform; take the time to be able to do that. I've said that on several calls. What follows from that then is to make sure that we protect that mineral inventory. In the case of C1, that is why we took the action that we did on putting it on care and maintenance, while we develop a better metallurgical plan. Whether or not we sell these assets will depend on how they fit into the portfolio. I want to be sure that I'm very clear on the approach that we take on portfolio management. Portfolio management for us is if an asset is a comparatively small asset, Fazenda Brasileiro fits into that category. It's comparatively small, still delivers to our cash flow even though it's been in production for many decades. Some would say it doesn't fit into the portfolio of Yamana, but it takes so little time to manage it. It's self-sustaining and self-sufficient, that we would critically look at it and say, why not keep it in the portfolio. It continues to produce. So we look at it from the perspective of what management time is required. Can it be better deployed somewhere else? And then ultimately, what capital needs to be deployed? And can that be better deployed somewhere else? That is an important part before coming to any conclusion on the sale or disposition of assets. But should we come to that conclusion, I think it's important to also say that we want to make sure that we've got it right, make sure that we have packaged it correctly and making sure that we see the upside, so that we can properly reflect its value and deliver that value to our shareholders. Presently, I think that we can improve on the carrying value of those three assets in Brazil and that's what we're evaluating and in the case of C1 Santa Luz, that's one of Barry's tasks to see what the proper metallurgical process would be. Once we have completed that program then we'll evaluate, are they responsible citizens so to speak, in the portfolio. Not requiring a lot of management time or are we better off to sell them. And we'll look in that context at do we do it as a package or do it individually. Who is best suited to be able to provide the value that we're trying to get from those assets?
Operator: Thank you. The following question is from Adam Graf of Cowen. Please go ahead.
Adam Graf - Cowen: Just a couple of quick questions; one on the currency, you mentioned it briefly. We’ve seen significant depreciation in the Mexican peso, the Argentine peso and the Brazilian real. And I just haven't seen it come through on the cost side. And I was curious if that's a lag impact from your currency hedging and if we should expect to see the benefits of those depreciating currencies going forward into 2015.
Peter Marrone: Yes. I believe that we should, this is a bit speculative, Adam, but I think the answer is yes. We're not factoring that -- our assumptions as we complete our budgets to the end of this year and as what we'll report in our guidance next year and the years to follow. We'll take a more conservative view on what to expect out of currencies, but there is a lag effect. We recognize that. But we also recognize that there is higher probability today than there was in the past on devaluations of the currencies in the countries in which we operate. We have begun to see it on the Canadian dollar for Canadian operations. We are beginning to see it in Chile. We've begun to see it in Argentina, we certainly think that that is going to become more evident in Brazil as well. On the question that you asked about our currency hedging, we have hedged as you are aware, only our Brazilian reais and that really expires this year. So 2015 is a fresh start for us and it will coincide with a period where I think there will have to be some adjustments to those currencies and certainly the inflation rates in those countries suggest an adjustment to the currencies. The pundits are saying that there has to be some adjustment to those currencies. What we've done in our budgeting presently is we've said we’re assuming the high end of the inflation rates for our cost structure, but the low end of expectations for the currencies. So we should be able to get some windfall as the currencies devalues into next year and the year to follow. The Brazilian reais and the Argentine peso are the ones that I believe likely would have the greatest level of adjustment to currency, certainly over the course of a period of time, say of a year to a couple of years. And the inflation rates in those countries are suggesting that that would be true.
Adam Graf - Cowen: Yes. And while those currencies depreciate, are you guys able to hold your costs, your local costs in place and fight the inflation?
Peter Marrone: As you know, there is this seesaw and this balance between inflation and the currencies, a rapid devaluation of a currency runs a risk of a rapid increase in inflation. But I believe that in the countries in which we operate and in Brazil and Argentina in particular. I believe that the inflation level is forecasting what to expect out of the currency and not the other way around. So if we are assuming presently and into our guidance for the years to follow, a higher end of inflation, but the lower end of currencies. Then I should think that we get the windfall of the improvement or cost structure when the currencies ultimately do adjust. It's not a representative market in Argentina as an example because the blue market in Argentina is a very thin market. But the blue market is at 14 pesos, whereas the official currency is at 8.5. So there is a lot of spread in between, and I believe and certainly many who are far smarter than I'm -- are taking the position that it is likely that that currency will devalue to somewhere between the current level and what the blue market is forecasting at 14 pesos to the dollar. That provides a huge windfall to us on our cost structure and also on the development costs for Cerro Moro. While we've already taken into account the inflation rate at the high level.
Adam Graf - Cowen: Yes. I was also curious on your view of our Argentina and is the environment there improving as far as the inflation? And clearly you guys are willing to go forward there.
Peter Marrone: Argentina is -- I have perhaps become a proponent of a very positive view for Argentina, certainly over the intermediate and longer term. But I think there's good reason for it. When we look at the impressive potential for mining and for oil and gas one of the largest, if not the largest shale gas and oil deposits in the world. When we look at a willingness of a government to bring investment into the country in order to exploit these efforts, if you look at what we've done with Agua Rica with the national government support and the provincial government support, this mining district that we've created. One very rare, never been done before in Argentina, when we look at that willingness to create mining enterprises, oil and gas enterprises, encourage investment into the country. When we look at Argentina as having settled with the Paris Club, settled with 96% of those bondholders with the default that occurred in 1999 to 2001. When we look at all of these things, these are very positive things that are taking place. The reintroduction of a new inflation index that is supported by the IMF, I believe if the country is taking steps that are important steps to re-encourage itself -- to reingratiate itself into the international community. What is interesting about Argentina is that Argentina is technical default today because of a judgment in the United States that relates to holdout bondholders. It is a technical default, but what is particularly interesting to me is that unlike many developing parts of the world, it has zero investment internationally into the country and a lot of international investment trillions of dollars of international investment are looking to come into the country once this default is settled, it is a technical default. It means that they have to settle with these bondholders. They have to deal with this litigation and judgment in New York. But once that's occurred, it seems to me that Argentina is on a good path to reinvestment back into the country and we will be a beneficiary of that as a result of the assets that we already own in the country that we bought at very low value.
Adam Graf - Cowen: You see Chile heading the other way with this tax judgment?
Peter Marrone: Our Chief Financial Officer, Chuck will tell you that the protection of earnings is sacrosanct and he will likely say, which is a good thing that you should always try to maximize earnings and maximize cash flow and it's understandable. I take this view on what's happening in Chile. Clearly we've prefer to pay a lower tax-rate, but equally, it seems to me, as a businessperson, rather than as a tax consultant or as an accountant, it seems to me that what Chile is doing is trying to harmonize the inefficiencies in its tax system. So while it means, it implies that we will paying a slightly higher tax, we will have less opportunity to defer tax; it also creates greater efficiencies. My hope is that that then gets applied to improvements in infrastructure, power being a principle one and that it ultimately means that our cost structure will be lower. We're there for the long term. These assets are long term assets and I think ultimately we will benefit from that.
Operator: Thank you. The following question is from David Haughton of BMO. Please go ahead.
David Haughton - BMO: Peter, you spoke about some structural improvements at a number of mines. One of those that I would like to just explore a little bit further would be at Chapada. Could you just let us know what your expectations are of the cost improvements or benefits of the crushing and what the grade uplift could be for Corpo Sul please?
Ludovico Costa: Now this, in order to keep the production at the same at Chapada. We’re using a larger amount of explosives to reduce the size of the material that (indiscernible). We expect that in future crush we are most certain, when we have in-pit crusher run that we can reduce this blasting factor around 50% and we’re going to keep because in-pit crush is going to reduce that. That's going to be one of the savings. The other saving that's really on the side of the in-pit crushes is related to reducing the hauling distance and is nearby the Corpo Sul area, hauling distance is longer. We expect for next year to have improvement at least around 3% on the feed rate of the (indiscernible) the plant throughput and with that all the cost is implicated on that.
Peter Marrone: And David, if you were referring to what I mentioned in terms of certain additional optimizations, we're looking at a regrind opportunity that exists at Chapada that would allow us to be able to -- again it's early stages we're just evaluating it, but to improve the recovery rates at Chapada--
David Haughton - BMO: Regrind on the con, Peter?
Ludovico Costa: Sorry?
Peter Marrone: He was asking if it's a regrind on the concentrate.
Ludovico Costa: Yes, that's two different things. We do have a regrind on the concentrate that we’re not going to change because it keeps it the same, but what we plan to do is a regrinding within the ball mill. That means you have a finer grinding on the grinding section and we expect with that increase, both copper and gold recover. We’re certain because with the testing we did, we see a lot of improvement by doing this regrinding here. I mean having a finer grinding, not on the concentrate but on the material that's sent to the (indiscernible).
Operator: Thank you. The following question is from Tanya Jakusconek of Scotiabank. Please go ahead.
Tanya Jakusconek - Scotiabank: Peter, I'm just having a bit of difficulties understanding the cut of the dividend and maybe just explain. Usually it takes Boards a while to decide on a dividend rise or a cut and when you look at your company, most of your CapEx spend is behind you, you're growing your production into 2015 and 2016, you see your cash flow flowing. You’ve one of the lowest all-in sustaining costs and going lower, that doesn't seem like a position of a company who should cut their dividend. So maybe you can help me understand that.
Peter Marrone: As I said in the presentation, one should not infer from this that there is any risk to our cash flow or to the generation over the course of -- into 2015 and 2016 and the years to the follow. But we expect to be improvements to our free cash flow. Part of what we are saying is what is a dividend level that better reflects the CapEx needs of a company, the risks to metal prices. I'm a big proponent and big believer that gold price is sustainable at these levels and likely will increase and increase far more dramatically than people think, but in managing a business, we also have to look at the downside scenario. And in the downside scenario, what would be a sustainable dividend that's something we can afford to pay and would not have a negative impact on our ability to complete capital projects such as Cerro Moro such as Gualcamayo that we see under the horizon in the next couple of years. Part of the analysis was also what is our yield presently and our payout ratio by comparison to some of our peers and we were well in excess of peers. And some might say, well why not? That's the kind of cash flow that you're generating. But part of risk of analysis was also -- and this Board of Directors took the past several quarters from the beginning of the year to come to this point. Part of the analysis was also, what level of cash balance issue should we be maintaining and over what period of time. We expect to increase our cash balances, that's the objective to this. As we increase those cash balances, we'll come back to the question of what do we do with our dividend. Chuck showed in his presentation a very, very manageable debt in this company. But equally, we think that we can make it more manageable. We think that increasing our cash balances gets us to a point where we’re a better company from a balance sheet point of view and that's the time to evaluate what we do with our dividend going forward. Those are the reasons that we undertook this effort. It was not something that was done over the course of a day or a couple of days. We've been evaluating it, looking at the build-out this year, where we were with our debt this year, where we expect it to be with our build-out next year, the cash balances we'd be building into next year and the year to follow and where we wanted those cash balances to be.
Tanya Jakusconek - Scotiabank: No and I appreciate that, because I know Boards take time to change a dividend. Is it then fair to assume that with your focus on increasing your cash that maybe your focus on M&A has increased over paying out a dividend?
Peter Marrone: Well, when we bought Cerro Moro, with the purchase of Extorre in 2012, you might remember that we did that almost entirely with cash and what I said at the time was that we intended to rebuild our cash balances. In early 2013, so several months really after that acquisition, I think it's fair to say that as industry we were somewhat blindsided with a 28% drop in gold price almost overnight and certainly over the course of a few weeks. And so what that meant is that the rebuilding of those cash balances that we had used on the purchase of Cerro Moro would take a little bit longer to do. And all we're doing is we're reflecting that in the context of risk reward, in the context of where gold price is where we think it might be, but also the risk on the downside. We think that it's prudent to reinitiate that plan that we had in 2012 of rebuilding those cash balances, that's what we're trying to do. And to go to Tanya's [ph] point, I mean this is something that was not done overnight. It's something that has been in contemplation, in discussion, in evaluation for many quarters. Again, it's not a secret that as we completed the build-out this year we've increased the borrowing on our credit lines. It's still at very manageable levels as Chuck mentioned, but we've increased quarter-over-quarter the borrowing on our credit lines. And we think it's prudent to build those cash balances and pay that down. That's part of this, while at the same time paying a dividend to our shareholders. And interestingly, when we look at $0.06 per share if we look at the progression of the dividend, it is at the level -- and that's per year -- it's at the same level that it was at when we started to get the run up in gold price several years ago. So if gold prices just stay flat at $1200 per ounce then that dividend is reflective of where we were before the run up in gold price when it got close to $2,000 an ounce.
Operator: Thank you. The following question is from Don MacLean of Paradigm Capital. Please go ahead.
Don MacLean - Paradigm Capital: I appreciate how difficult it was for you to say you know, some of those things you were about the operations that didn't work out in Brazil, Peter. I think we all appreciate that and then all the steps that you've taken people-wise which can be quite difficult as well. It would be helpful if we know what the carrying value was now for C1, Ernesto and Pilar and I guess you and I have had differing opinions about Jacobina. Maybe you could touch on or Chuck could touch on the risk of any potential write-down on that asset. And then I guess lastly on a personal note, but I know I speak for a lot of other analysts that are on the line, I think we all want to wish Ludovico a great retirement. We've all appreciated his insight and comments over the years and his personal touch over the last eight years. So all the very best, Ludovico.
Peter Marrone: Don, that's very kind. And we appreciate that. I will pass the call to Chuck to deal with the carrying values on those assets. Then perhaps I could come back to our views on Jacobina.
Chuck Main: Yes, it's in the MD&A. We have disclosed kind of the magnitude of the write-offs by mine and the net book value after the write-offs. On C1, we’ve a remaining book value of 70, EPP 30 and Pilar 350. We went through a very rigorous process of cash flow modeling, assessing what the recoverable values are. We think we've been very conservative in that process. I think we're comfortable with this carrying values that these assets are worth at least this much and that we can realize these values either through future cash flows or as we talked about earlier through a process of potential sales.
Peter Marrone: You were very candid, Don, in saying that we’ve had very good discussions, you and I, for me very eye-opening in many ways. I have often disagreed with you, but I have come to at least a better appreciation of certain things as a result of our discussions, so I thank you for that. And that discussion on many occasions has been about Jacobina. And as I said in this presentation, Jacobina is an outlier in the category of cornerstone. But I think we need to highlight certain things. First is that it is a complex of mines. Secondly, is that is a complex underground operation. Thirdly, is that its grade as an underground, we have been mining and processing at less than 2 grams per tonne. It has been 1.7 to 1.8 grams per tonne. We have a reserve grade of 2.8 grams per tonne. We’ve areas that are in excess of 3 grams per tonne. What has been the challenge at Jacobina is the complexity of the mining. What has been a challenge at Jacobina is doing the development work to get into higher grade areas. I will highlight some further challenges with Jacobina. Efficiencies, the level of sustaining capital to do development work as I mentioned, but efficiencies is also important. We’ve in several of our operations, 12-hour shifts for underground mines. In this particular place we have six hour shifts, that means that someone is at a mine face for about four hours. That is a legislative requirement in the state of Bahia. But part of what we need to consider is how do we make it more efficient so that we can better take advantage of that six hours. Can we come to conclusions with state authorities that there's a way to do this that is internationally recognized that deals with proper health and safety protocols, allows people an opportunity to spend time away that increases that shift level? So that we can create more efficiencies, better utilized manpower, better utilize equipment. Maintenance of equipment is an important one. When we look at grade, when we look at number of ounces, when we look at exploration opportunity that Butch can speak to on where he thinks the potential for the number of ounces to be we think that Jacobina represents an opportunity and it needs to be better managed. Transitioning the management to our Santiago office was not a reflection of poor management coming from our Sao Paolo office. It was a reflection of the fact that we've got better talent in dealing with the complexities of underground operations and particularly complex underground operations, coming from Santiago and now in my view with the effort that we've undertaken in Toronto, we can further complement that. So we think Jacobina is not a 100,000 ounce per year producer. It's not the production level of this current year. Its production platform will be well in excess of that, and what we have publicly said is if we look at grade, if we look at recovery, the same throughput, we should be able to get 130,000 to 140,000 ounces per year at Jacobina at a far better and improved cost. And so we think that we'll ultimately get there. We will have to reflect then, what is the carrying value and what should be the carrying value, as we normally do on a quarter-by-quarter and year-by-year basis. But it would be very premature. We would be throwing out the baby with the bathwater to undertake that discussion on Jacobina, given those huge potentials that exist.
Don MacLean - Paradigm Capital: It is a big resource, but clearly complex. Those situations usually benefit from more intellectual horsepower and you've done that, so all the best with it and all the best, Ludovico.
Peter Marrone: Ricardo Solovera is the point person. He is one of our vice presidents. You might remember Ricardo for many reasons one of which is that Ricardo was our general manager at El Penon. Ricardo was instrumental and part of the effort. A significant part of the effort that took that mine from 370,000 ounces to 460,000 ounces, Penon has made far higher grade than Jacobina, but has its own complexities and he was very successful there. We think that he will bring that same level of intellectual property to Jacobina and we should be able to get the benefit of that and that will coincide with Barry's efforts on looking at how we can improve development, with Daniel and Gerardo's efforts in making sure that we can make the operation more efficient, save costs. Some longer term projects as I mentioned for example, the shift work that would require more evaluation of what to do with governmental authorities and of course with the effort that Butch will undertake on finding new ounces.
Operator: Thank you. The following question is from Dan Rollins of RBC Capital Markets. Please go ahead.
Dan Rollins - RBC Capital Markets: Chuck, I was wondering if you could circle back to the comment you made regarding the secondary tax in Chile. I guess it would be for the repatriation of dividends.
Chuck Main: Sorry, Dan. You're going to have to speak up--
Peter Marrone: The part two tax in Chile.
Chuck Main: Okay.
Dan Rollins - RBC Capital Markets: The mark to -- yes, you said you could no longer defer that. One, I would like you to confirm first of all, you’re currently using intercompany debt to repatriate funds out of the country. And two, when do you expect you might have to start paying that secondary or that phase two tax in the country?
Chuck Main: Yes, the reform package is structured in a transitional way. The end of that transition period is 2017. When you get to 2017, there are two ways you can elect to pay your tax in Chile. One is at an attributed basis and one is a semi-integrated method. Under the first, we would just pay 35% fully on an ongoing basis and then the semi-integrated. We would pay 27% on a kind of cash basis and then 8% would effectively get paid when there was a distribution. Under the new rules, there is nothing under the rules that compels us to repay and repatriate loans that we have made out of Chile that's allowed us to defer the payment of the category to withholding tax. There is mechanics in the new legislation that will deem an income on the loans outside of the country which is the aspect that, on a going-forward basis, restricts our ability really to defer that category to tax. I think there is various aspects of the legislation and our ways to deal with it in an effective way that is still subject to review and investigation.
Dan Rollins - RBC Capital Markets: Okay, if I were to make an assumption, I'm sorry. I'm not too familiar with the tax situation here. But should we assume as of the end of 2017 that you would go with the semi-integrated method where we look at cash tax of 27% go forward and then 8% when the company deemed a distribution necessary?
Chuck Main: That's correct. It's one of the two methods. The other method would be the attributed method, whereby we would pay 35% just on an ongoing basis and we've mentioned that we're still evaluating the tax and part of that evaluation is when we get to 2017 which of those two methods would we choose.
Dan Rollins - RBC Capital Markets: Okay, and then maybe just to have a broad stroke, so we know just something to model going forward Peter, with respect to Ernest-Pau-a-Pique and Pilar, what type of steady state production should we, the Street, be assuming on an annual basis? And what type of all-in sustaining cash cost would be a good estimate to use on a go-forward basis?
Peter Marrone: We expect Pilar to be at a level 60,000 to 70,000 ounces per year. We think that we should be able to increase that, mostly coming from Maria Lazarus and we will better evaluate that at the end of the year. What we said in our MD&A and financial results is that we anticipate being able to take it from in the range of 70,000 to 90,000 ounces per year. We are still evaluating the cost issue and how we can get efficiencies and optimizations. Presently declaring commercial production, as you’re aware, is a technical aspect. An accounting requirement under GAAP under IFRS, once an operation has reached a certain level of technical proficiency not necessarily a businessperson's reflection of profitability. So presently we're still at a cash cost structure that is high and where it's below the gold price, but an all-in cash structure that is higher than the current gold price. We anticipate being able to improve that by the end of the year and have a far better handle on where it will be 2015, 2016 and the years to follow by the end of this year when we give our guidance early next year. What we've said in the past is that we are looking at all of our operations to have a cost structure all-in that is not higher than $1100 per ounce. That's what we're working toward and we'll see if we can better improve that. A lot will depend on our efforts on Maria Lazarus and what we see as a smallish, but clearly a windfall, because of the orientation of that ore body, the grade and our ability to mine it.
Dan Rollins - RBC Capital Markets: And then Ernesto-Pau-a-Pique going forward?
Peter Marrone: In Ernesto-Pau-a-Pique we are getting about 20,000 to 25,000 ounces per year. I would anticipate that that would increase into 2015 or 2016. Clearly it fits into the category of when we can sell it and if it's a good price to sell it, we likely will. One of the things that is important on Ernesto-Pau-a-Pique is that it's not just about that production level that's so modest by comparison to the size and scale of company that we are, it's also a very large exploration opportunity especially Ernesto-Pau-a-Pique is the open-pit Ernesto and the underground Pau-a-Pique. There is a potential for an underground below that shallow Ernesto pit that needs to be explored. It is not within our present thinking to spend exploration dollars on that because we’ve better use of exploration dollars, but I think that that could provide a good opportunity for someone else.
Dan Rollins - RBC Capital Markets: Okay, and then just quickly moving on to Gualcamayo. I realize you'll be providing some information later this year or early next year, but how much of the current reserve would you deem refractory in nature or sulfitic that you would need a mill to get the true recoveries? Or is it really that all coming from the drilling you've discovered here?
Darcy Marud: There is currently no reserve that we deem to be refractory. All of the reserve that currently exists at Gualcamayo can be treated by the current plants and facility or the current facility. Right now going forward on the resource basis, most of that carried in that inferred category. We're looking at about 2.5 million ounces of the resource that would be deemed treatable by another mining method. I wouldn't call it refractory or another process method, sorry.
Dan Rollins - RBC Capital Markets: You mean like a conventional CIL or CIP type circuit?
Darcy Marud: Right now we are looking at various alternatives. I don't want to nail one down right now. I think it's preliminary. But it would not be anything out of the ordinary as far as a process technology goes.
Dan Rollins - RBC Capital Markets: And then just in the current reserves, is it safe to assume a similar recovery of all the ore in the reserves versus what we're seeing today?
Darcy Marud: It's going to depend on what mining method we settle on, Dan, and that is currently under study. I think we'll give more guidance to that at the end of the year. Barry is leading that charge right now. He's just getting his feet wet on it, we're looking at different mining methods than we typically use, but it's not anything different than what we're currently doing at QDD Lower West as far as a sublevel cave or a sublevel stope. We're looking at those same methods.
Operator: Thank you. There are no further questions registered at this time. I would like to turn the meeting back over to Mr. Marrone.
Peter Marrone: Well ladies and gentlemen thank you. We've taken up a lot of your time and I know that there are many other calls that many of you want to get onto. So we thank you for your time and we look forward to catching up again on our next conference call.
Operator: The conference has now ended. Please disconnect your lines at this time. We thank you for your participation.